Operator: Good day, and welcome to the Enovis Second Quarter 2024 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kyle Rose, Vice President of Investor Relations. Please go ahead.
Kyle Rose: Good morning, everyone, and thank you for joining us today for our second quarter 2024 results conference call. I'm Kyle Rose, Vice President of Investor Relations. Joining me on the call today are Matt Trerotola, Chair and Chief Executive Officer; and Ben Berry, Chief Financial Officer. Our earnings release was issued earlier this morning and is available in the Investors section of our website, enovis.com. We will be using a slide presentation in today's call, which can also be found on our website. Both the audio and the presentation of the call will be archived on the website later today. During the call, we'll be making some forward-looking statements about our beliefs and estimates regarding future events and results. These forward-looking statements are subject to risks and uncertainties, including those set forth in the safe harbor language in today's earnings release and in our filings with the SEC. Actual results might differ materially from any forward-looking statements that we make today. The forward-looking statements speak only as of today and we do not assume any obligation or intend to update them, except as required by law. For further details regarding any non-GAAP financial measures referenced during the call today, the accompanying reconciliation information relating to those measures can be found in our earnings press release and in the appendix of today's slide presentation. With that, I'll turn it over to Matt, who will begin on Slide 3. Matt?
Matt Trerotola: Thanks, Kyle. Hello, everyone, and thanks for joining us this morning. Let's start on Slide 3. We had an exciting first six months of 2024. We've made tremendous progress on the integration of Lima and delivered on our plans for sustainable profitable growth. In the second quarter, we delivered reported growth of 23% year-over-year and 5% on a comparable basis. We expanded our adjusted EBITDA margins by 190 basis points, reflecting the mix of Recon, productivity improvements and a step change impact from Lima. Overall, we are pleased with our accomplishments in the first half of 2024 and are confident that we've set ourselves up for a strong second half of the year. In Recon on Slide 4, we delivered 60% reported global revenue growth. Recon grew 7% on a comparable basis in the quarter or about 10% when adjusting for estimated impacts from planned integration-related synergies. We continue to see the majority of integration-related impacts in our directly overlapping U.S. Recon business. In the quarter, U.S. Recon grew 1%, including 2% growth in U.S. extremities and 2% in hips and knees. While these U.S. growth numbers are well below our typical growth levels, the causes are well understood and temporary. In the international markets, we grew 14% in a resilient market while we continue to execute our integration plans. On Slide 5, I want to update you on the progress we've made since closing the Lima acquisition on January 3. Since day one, our integration activities have gotten off to a strong start with no major unforeseen issues. We have achieved significant progress and have developed a detailed multiyear plan that will position us as a premier high-growth global orthopedics player. As we've learned from prior acquisitions, we've been laser-focused over the first six months getting our commercial channels aligned. Our goal has always been to move quickly and do a short term disruption and put the teams and processes in place to execute our proven strategy to drive sustainable long-term growth. We've made terrific progress here. Our U.S. sales force has been solidified under our legacy Enovis structure and international markets are about 70% complete. Our overall revenue associated with the acquisition continues to track slightly ahead of our original estimates. We believe dissynergies peaked in Q2 as expected and will moderate as we move into the second half and start realizing some of the exciting cross-selling opportunities. With the progress we've made we expect to be comfortably within our initial guidance range of $20 million to $30 million of negative revenue impact. Our value creation plan on the cost side is similarly on track. Our cost synergy targets of $40 million within three years represents about 13% of legacy Lima revenues, something we believe is significant but achievable. This comes from eliminating duplicative support functions, leveraging our manufacturing scale and footprint and improving global business processes. Our teams have diligent plans to attack these opportunities in the near and long term with an eye towards minimizing any commercial impact and accelerating investment in key R&D programs. We'll dig deeper into our U.S. Recon growth performance on Slide 6. We are passing through several slower growth quarters as expected but have a clear plan and path to accelerate. As we outlined earlier, the U.S. Recon business felt most of the integration-related dissynergies estimated to be about 3% to 4% of growth impact in the first half across hips, knees and shoulder. Looking at our U.S. knee and hip business, our year-to-date growth of 2% is the start divergence from our historical trend of 17% per year or more. That said, we believe growth rates in U.S. knees remain above market levels despite a very strong prior year comparison and headwinds from the channel consolidation. We have continued to grow our knee surgeon base and expect a nice growth acceleration in the second half as our Cones launch enables further penetration into revision and ARVIS continues to ramp. U.S. hips have been under pressure the last couple of quarters. In addition to the Lima integration impacts, we are between product cycles at a time of shifting market needs. We're addressing the shift with new products that are expected to be launched around year-end to drive strong growth in 2025 and beyond. These include a surgical impaction system and several new hip stem designs that address the accelerating trend to direct anterior procedures. In U.S. extremities sustained double-digit growth in our foot and ankle business has been offset by some temporary headwinds in our shoulder business. As a reminder, U.S. shoulder is the segment with the most direct overlap with Lima and thus felt the brunt of the channel disruption we saw through the first half. We also have a key technology launching in Q3, the AltiVate Reverse augmented glenoid system. This product addresses the growing desire from surgeons to use augments for better outcomes in complex cases and has a significant increase on our revenue per procedure. We're also creating a lot of positive energy with ARVIS shoulder, which has already been used for cases and will be in a controlled launch for the balance of the year. ARVIS will bring shoulder surgeons the opportunity to seamlessly connect planning with their procedural workflow, creating the opportunity for repeatable procedures without the cost or time limitation of large robotic solutions. These great new products will reestablish our above-market growth as a strong innovation-driven leader in shoulder. Finally, we continue to feed innovation into the strong foot and ankle channel that we've built to sustain our well above market growth. Overall, we're excited about the innovations coming to the market across our anatomies in the second half. And with our newly aligned channel, we're confident we can accelerate our growth back to more normal levels as we exit the year. Turning to P&R on Slide 7, our 3% comparable growth reflect a stable market environment and disciplined execution. We continue to work on improving our portfolio and strengthening our market-leading positions. We're doing this by launching new innovations in bracing and recovery sciences and shifting both portfolios to higher growth, higher value segments. This is reading through as adjusted EBITDA margin P&R improved 50 basis points year-over-year as we continue to leverage EGX tools to drive consistent productivity improvements and improve the portfolio mix. Additionally, as we work to shape the portfolio, we exited and sold off assets of a small unprofitable business, which impacted sales by $4 million in the quarter. Overall, I'm pleased with our first half 2024 performance, and I'm confident we're set up to accelerate growth and profitability in the second half. Now I'll let Ben take you through the P&L details. Ben?
Ben Berry: Thanks, Matt. Hello, everyone. I'll begin my remarks on Slide 8. We are pleased to report second quarter sales of $525 million, which is up 23% versus prior year and 5% on a comparable basis. The first six months of the year have required diligent execution from all members of our commercial and internal teams and we've been extremely pleased with the collaboration and high-quality integration plans that we've executed against and the bright future that we've created by reshaping our portfolio. Our underlying growth in P&R remains stable, growing at 3% and Recon growth of 7% includes about 3% of negative headwinds from channel integration efforts as we expected and signaled on our Q1 call. Second quarter adjusted gross margin was 59.6%, up 160 basis points year-over-year. This growth was driven by leverage from scale and favorable segment mix that includes the addition of Lima. Our second quarter adjusted EBITDA grew 36%, delivering a margin of 17.2%, up 190 basis points versus Q2 2023. Second quarter effective tax rate was 24% compared to 18% last year. Interest expense was $17 million for the quarter versus $4 million in 2023. Overall, we posted adjusted earnings per share of $0.62. Foreign currency exchange translation had unfavorable impacts of about 0.5% on sales and approximately $0.01 per share for the quarter. Turning to Slide 9. We are adjusting our prior guidance to reflect the results through the first six months of the year. We now expect revenues in the range of $2.08 billion to $2.13 billion. This tightens our previous guidance range and the growth expectations remain in line with previous guidance. We expect this growth to accelerate in the second half of the year as we annualize higher prior year comps and begin realizing benefits from cross-selling and new product launches, particularly in Q4. We expect adjusted EBITDA in the range of $368 million to $383 million. This is also in line with our prior guidance. During the second quarter, we put an additional currency swap in place, which reduces our net interest expense by about $10 million, so we are updating our full year interest expense range to $60 million to $65 million. We are raising our estimated tax rate assumption by 1% for the year to 22% to account for geographic revenue mix. Our guidance for depreciation and share count remains unchanged from prior guidance. Taking all of this into consideration, we are raising our adjusted earnings per share range by $0.10 to $2.62 to $2.77. I also want to take a moment to provide additional comments regarding phasing into the second half of the year. This will outline on Slide 10. We do not plan to provide quarterly guidance on an ongoing basis. But given the complexity and changes brought on by Lima, we felt it would be helpful in year one. We expect to see higher seasonality moving forward as Lima brings a slightly different seasonal mix given its higher international revenue profile. As such, we expect to see a higher quarter-over-quarter step down in revenues in Q3, followed by a bigger step-up in the seasonally strong fourth quarter. We expect adjusted EBITDA will trend similarly with a step down in Q3 followed by a strong Q4. We still expect a significant step-up in our margins for the full year, which is aligned with our prior guidance and highlighted in our full year estimates on Slide 9. To summarize, on Slide 11, we had a solid start to 2024, executing against our strategic goals. We continue to positively shape our business and are building momentum as we advance the integration of Lima. We will continue to leverage our business system and position the business to accelerate through the second half of the year and deliver strong financial results. Now I'll hand it over to Kyle to start the Q&A. Kyle?
Kyle Rose: Before we begin, in an effort to accommodate everyone on the call, we ask that analysts keep the questions to one question and one follow-up, and you are welcome to rejoin the queue if we have time. With that, I'll turn it over to the operator to take the first question.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Vik Chopra with Wells Fargo. Please go ahead.
Vik Chopra: Hi, good morning and thank you for taking the questions. So two for me. In your slide deck, you called about 3% to 4% negative growth impact from the integration efforts. You said Q2 was going to be the apex. I just want to get your thoughts on the back half of the year and what gives you confident that you've seen the bulk of the integration headwinds? And I had a follow-up, please.
Matt Trerotola: Yes, sure, Vik. Yes, we did -- as we said last quarter, we expect Q2 to be the apex and again there's a couple of different factors there, right? There's the U.S. integration, which we've worked through now and so we can see the impact, and we can see that that's expected to peak in Q2 and then taper off. And then we're – a good way through the outside the U.S. integration and expect that the impact there could increase a little bit as we work through the balance of the year. And then in both regions, we'll have cross-selling benefits that are coming in. And so we do expect -- continue to expect Q2 to be the apex there and for that to come down as we go through the balance of the year and the ultimate number to be within that $20 million to $30 million range that we've talked about comfortably.
Vik Chopra: Okay. Thank you. And then the second question I had was just on hiring trends. What were they like in Q2? And how do you see your recruiting and retention efforts shaking out in 2024, given the Lima deal? Thanks for taking the questions.
Matt Trerotola: Yes, I think, did you say hiring trends, Vik?
Vik Chopra: Yes, hiring trends -- the question is with regards to the deal.
Matt Trerotola: Yes. Yes. Okay, yes, great. Yes. No. So certainly, I assume, I'll assume that, that's an acquisition-related comment, but I'll comment broadly as well. First and foremost, on the Lima integration, a top priority there has been around retention of critical talent. That's something that we work very hard on in every acquisition and we are really thrilled with the retention. We've had a number of great leaders who have taken leadership positions in our company, and we've also had a fantastic retention within the broader organization right through the technology organization into the field organization, meaningfully below what we had planned for in terms of the kind of attrition that we could expect there. So very happy with the retention that we've had related to the Lima acquisition. And then more broadly in the company, our attrition levels are running in a normal realm and certainly the places that we have been adding, whether it's commercial resources or resource in our enabling tech organization, we've been able to get great talent and hire great talent.
Operator: And the next question comes from Robbie Marcus with JPMorgan. Please go ahead.
Robbie Marcus: Good morning. Thanks for taking the questions. Two for me. First one, I wanted to talk about sort of the quarter and how it played out. I imagine in line wasn't what you had hoped for when you set the guidance range. It's certainly not a bad result, but given the track record, I imagine you're looking for a beat. So how do I think about what was the delta versus the original expectation? Was it the market for large joint or extremities was softer than expected? We didn't see upside from really any of the competitors so far. Or was it more the execution in the quarter, maybe a little more than what you'd been thinking on the disruption? And then I have a second. Thanks.
Matt Trerotola: Thanks for the question, Robbie. Yes, so for sure, we try to position ourselves to beat every quarter, but we also try to set expectations for the quarter that are in line with our plan, and we believe we can execute through our plan. And if you look at the – as you commented on, if you look at the second quarter, in terms of what's been published out there, whether it's from Recon peers or on the P&R front. I think there's kind of a broad view there that it was sort of a decent market up against a strong market last year. And so we're comfortable with the way the market is playing out this year. We're comfortable that it's aligned with our plan that we'll be able to accelerate through the last – through the back half of the year in a strong way. But for sure, there could have been could have been a more favorable market in the last two quarters than there was.
Robbie Marcus: Great. I appreciate that. And then maybe just to focus on third quarter, I want to make sure the Street is in the right spot here given the helpful guidance you gave. So if I think now pro forma, roughly half the business is Recon, half is P&R. You say P&R is low single-digit growth, Recon high single that to me averages out to mid-single. And I think consensus is closer to 6.5% or so coming into today. So I was coming up something more like $500 million to $510 million, below consensus at $512 million. Same thing down the P&L on EBITDA, I was coming out below where consensus was, which implies a higher fourth quarter. Is that the right ballpark to be in? Thanks.
Ben Berry: Yes, Robbie. I won't speak that specifics here, but I think what we tried to do, as we put in the presentation, given some of the new seasonal factors with bringing in Lima, it does impact the phasing of how revenue plays out and to the earlier comments that Matt made is while we apexed on the dissynergies in Q2 there will still be, I'd say, a progressive decline as we get through the back half of the year, a little more in Q3 and then it moderates even more in Q4. So I think it decelerates there in the back half of the year, but we'll still have some impact in Q3 as we finalize all of the channel integration areas. So we tried to break it down in the components that you have there with Recon and P&R and we've provided some of the supplemental financial information as well that you can use to help with your modeling there. So I think it's lined up very much for you to be able to do the math to get to where we think is a reasonable estimate. But on the face of what you've said, it's not too out of the realm. But again, I'd say some of the components are there for you guys to take a deeper look.
Robbie Marcus: Great. I appreciate it. Thanks a lot.
Operator: And the next question comes from Vijay Kumar with Evercore. Please go ahead.
Vijay Kumar: Hi, guys. Thanks for taking my question. One on the guidance here. When you just go up, when I look at the total dollar numbers, the ranges are tightened. But did your prior guidance include the divestiture impact as I think P&R pulled out about $15 million of revenues? So is the updated guidance inclusive of divestiture impact? And where it mean -- it does mean that without this divestiture impact guidance is actually based on revenues?
Ben Berry: Yes, exactly, Vijay. So our prior guidance did not include the divestiture of about that $15 million business. Again, we had a quarter of it in our results. So again, there'll be three quarters of that business that we're absorbing in our updated guidance range.
Vijay Kumar: That's helpful, Ben. And Matt, one for you. I think people are trying to -- I know you've provided the Street through that pro forma. I think people still want to understand the underlying sort of legacy Enovis, right. So when you think about the dissynergy impact, I think there was some helpful detail and EMPOWR up high signals in the first half. Have you – when you look at these markets on core Recon, are you still – is Enovis still confident about share gains, growing up well above markets maybe talk about underlying trends and what gives you confidence about share gains?
Matt Trerotola: Yes. So Vijay, in the knee in particular, we continue to have healthy share gain, both when we look at the all up reported results and as we look at our trend in terms of adding surgeons and things like that. And so not as much as we've had because of some of the integration pressures, and we're also up against really a tremendously high comp from the first half of last year. But when you get under the hood on the knee and the legacy, and we tried to share enough there to give people confidence that that's still clearly there. We've still got solid performance within our shoulder product, but that's where we're seeing most of the integration impacts. So you have two different things hitting the shoulder growth ways from the integration. One is that the Lima business did not have a lateralized inferiorized shoulder. And so with declining as we went through the back half of last year, that Lima shoulder business here in the U.S., it was growing nicely outside the U.S., but was declining here in the U.S. And so we'll fix that quickly as we bring new products and cross-selling products into that channel here as we work through the year, but that's certainly a meaningful growth drag. Then we also have synergy or dissynergy impacts from the integration because the amount of overlap in shoulder. And then, third, as we talked about the augmented glenoid is a really important product for our shoulder. That's become an increasingly important piece of the puzzle for shoulder surgeons. And so over the past few quarters, getting ready for that launch has slowed down the rate at which we've added new shoulder surgeons and had an effect on the business there as well. And so shoulder is going to get on a good strong path quickly here as we go through the balance of the year. And then here, as I talked about in my comments, that's one where for the last couple of quarters or so, our hip growth has been on the lower side. Our knee growth was really very, very strong, and that was really based on some trends there versus our portfolio. And now with the integration impacts on top of that in the first quarter, certainly in hip, we would – our growth – we would certainly not be gaining share, and we've got a solution to that coming by the end of the year.
Vijay Kumar: Understood. And Ben, maybe one last cleanup, apologies. It's – I think there were some product exits on the Recon side. It's annualizing, I think, close to like $10 million. Was that part of the revenue leakage to dissynergies? Or is this exit incremental to the revenue indication?
Ben Berry: No. Yes. So Vijay that would be in the full numbers of what we quote when we talk about the net dissynergy impact, so those product lines would be included in there. Those were essentially we had a couple of third-party relationships, both on the Lima side and on the Mathys side with regards to as we put the two businesses together. We had to essentially exit some of those relationships and agreements. So those are included in those numbers.
Vijay Kumar: Fantastic. Thank you guys.
Operator: And our next question comes from Jeff Johnson with Baird. Please go ahead.
Jeff Johnson: Thank you. Good morning, guys. So, Ben, maybe just trying to ask one more question here on kind of the phasing of 3Q and 4Q, you had 400 to 500 basis points headwind on the dissynergies in the U.S. Recon business in the second quarter. Should we just assume those fall off kind of by half in the third quarter and then disappear or fall off another half in the fourth quarter? Would that be the right way to phase those out over the next two quarters? Or is it more backend loaded than that? And then maybe the same question, how quickly do we think maybe the TT cones, the glenoid augments? How quickly do those ramp? Is that more of a fourth quarter impact? And that's where the U.S. Recon could maybe get back to upper single to low double digits as well? Is it conceptually anything off and what I'm saying there on both those points? Thanks.
Matt Trerotola: Thanks. Yes, Jeff. Yes, Jeff, thanks for the question there. And so I mean, the nature of the dissynergies, most of it is things that are related to surgeons or agents that are lost as we put things together. And so those impacts wind up starting to hit and then they will hit for a year before we anniversary them. And some of them started to hit late last year and have been kind of rampant to an apex and now we’ll start to anniversary those in the third and fourth quarter. So, in terms of the dissynergies, there is an arc of that that is apexing in the third, second quarter, but then clearly still has a couple more quarters to play out. But at the same time we have the cross-selling that will start to kick in and we do have some that’s starting to ramp there. But for sure there will be more in the fourth quarter than the third quarter in terms of cross-selling impacts. And some of the new products like the Enovis cones, in addition to the [indiscernible] cones that we can cross sell and the Augmented Glenoid, those are the coming through, going to have third quarter impact, but definitely going to have a lot more fourth quarter impact. So as we tried to lay out there in the guidance, although it’s not pulled apart by region, is more of a kind of a modest improvement in the third quarter and then a return to more normal growth levels for us in the fourth quarter and as we roll into next year.
Ben Berry: And then to comment on your phasing, I think you’re thinking about it, right, in terms of the shape. I mean, I think it decelerates, but there’s nothing I would say think about how it plays out in terms of, with Q2 being the apex and then decelerating from there. So a little bit more in Q3 versus Q4.
Jeff Johnson: Understood. And then just last follow-up question just on, you did mention double digit Foot & Ankle growth in the quarter, I think, that was a U.S. comment, although you can correct me if I’m wrong on that. But just, there has been some chatter out there, bunionectomy, some of these things can maybe be a little more economically sensitive, a little bit more deferrable. Just what are you seeing in the Foot & Ankle business at this point? Just remind us of the size now with Lima in there, how much Foot & Ankle is as a percentage of your reckon. Thank you.
Ben Berry: Yes. So I think we’ve talked about Foot & Ankle passing through $100 million this year. There wasn’t any Lima Foot & Ankle business of any consequence that came in. But we did bring Novastep in last year, which really helped to position us to bust through that $100 million ramp. Look, our Foot & Ankle business for a number of quarters now has been growing very strongly and comfortably above market levels based on the work we did to put that channel together and the hard work of putting the channel together that we did, and now having that strong aligned channel, and then just a ton of great innovation that we’ve been pumping into that business, and that’s in the U.S. We’re also growing double digits outside the U.S. in that business. I think that I commented on the markets more broadly, earlier, and I think that would apply to Foot & Ankle as well, that we probably have not as good a market situation this year as we did last year. But I think our teams are doing a great job of executing share gain in that environment, have done it for a number of quarters now, and we’re really pleased with the engine that we built there.
Jeff Johnson: Thank you.
Operator: And the next question comes from Young Li with Jefferies. Please go ahead.
Young Li: All right, great. Thanks so much for taking the question. I will just keep it to one. Maybe just to follow-up on the U.S. Extremities business a little bit more. I appreciate the comments on the Foot & Ankle side. But on the U.S. Shoulder side I guess I’m curious, when do expect that to return to one and a half to two times market growth? And then your thoughts on the sustainability of that in light of some of the new robotic competitors coming to the market?
Matt Trerotola: Yes, sure, Young. I think that the comments I made earlier generally about U.S. surgical would apply to the shoulder business. We would expect that business to improve in Q3, but then improve a lot more in Q4 as – the Augmented Glenoids came out we’re just proven launched in the last month or so here. Q3 is within the control launch phase, so it’s very important, but it has some impact on our growth, but nothing a substantial impact on our growth. And then in Q4 and beyond, we can really tilt up the regulator on that. And so that’s going to be the arc of that. Some of the acquisition impacts will go on that same arc that we just talked to in terms of starting to have a little bit of improvement in Q3, then more in Q4, and then in Q1, Q2, we start to anniversary some of the impacts. And so we do expect to exit the year with our shoulder business and a strong, healthy growth path. And then we expect to also have the fundamentals underneath that supporting continuation of that growth path in our shoulder business. Now, as far as enabling technology in shoulder, it’s clear that that’s going to be important to shoulder surgeons going forward. We’re confident that ARVIS is going to be a fantastic solution for that, the shoulder. It’s very important to do great planning, use predictive analytics, and then be able to kind of manage your workflow through the procedure and guidance and the right instrumentation solutions, give surgeons a tremendous opportunity to do that. And the initial reactions we’ve gotten to ARVIS as we’ve gotten out there in the market for shoulder have been very positive. And so we are confident that guidance is going to be a tremendous solution for shoulder. When you look at the anatomies, there is some important things about shoulder. One is it’s a ball and socket like a hip versus a knee. And the other is that the average shoulder surgeon does a lot less procedures than the average hip or knee surgeons. And we think those are going to be very important factors as it comes to how the market shakes out on enabling technologies. That guidance is a tremendous solution when you have that more constrained space that you have in a shoulder or a hip, for that matter. And in addition, a low cost solution that is time efficient is going to be a great solution for lower version – lower volume shoulders out there. So we feel confident about ARVIS and shoulder. We also have plenty of opportunities to partner as well as develop a more automated solution to go alongside of that as the market continues to evolve. So we’re confident we can sustain our leadership in shoulder going forward.
Operator: And the next question comes from Brandon Vazquez with William Blair. Please go ahead.
Brandon Vazquez: Hi, everyone. Good morning. Thanks for taking the question. Can you talk a little bit about more specifically what you are seeing as you talk about dyssynergies? Part of the question, what I am trying to get at is I am trying to understand better as you look to the back half of the year, is reaccelerating growth simply kind of re-engaging with surgeons to go deeper into their accounts, or do you need to reengage with surgeons to frankly, even just get them back onto Enovis products altogether? Just trying to understand what exactly, from an execution standpoint needs to happen in the second half as you reengage and kind of move past the dissynergies?
Matt Trerotola: Yes, sure. Well, the dissynergies come from a combination of surgeons that we lose based on kind of choices and/or competitive dynamics as we’re putting together overlapping channels. And then second, from some products that the channel needs to move away from us based on different commitments that they might have in different places, et cetera. And then also from some of the just the distraction factor of working on putting together new channel arrangements versus working on adding new surgeons. And so as we go forward, where we’ve lost some surgeons, certainly we’ll be looking to get them back and we’ll get some of them back. But whether we get them back or not, that will anniversary and that will kind of leave that drag behind us. But where we have had some products leak away that’s where the cross-selling comes in, and we can replace those products with cross-selling products. And so there’s an opportunity to go ahead and get right at that here as we get down the back half of the year. And then this engine of adding surgeons, that’s something that’s been dialed back up over the past few quarters in a healthy way. We’ve got a really nice funnel there, and we can see the little bit of slowdown in that that happened down the back half of the year, really starting to build nicely. And that will start to benefit us in the back half of the year from the surges we had in the first half of the year and then it will benefit even more next year from the ones that we had in the second half.
Ben Berry: Yes. Brandon, I would just weigh in there, too. I mean we learned a lot on the Foot & Ankle acquisitions that we did in terms of how to put the channel together to make sure we are protecting ourselves with regards to exclusivity, but then also allowing ourselves to quickly move and then focus the ability to go on offense once you’ve gotten that channel solidified. So, I think as Matt said exactly in terms of the drivers, but our ability to now go on offense have new product flow coming in the back half of the year and having now a channel that’s focused on getting back to our playbook and it just shows from our perspective, through the good results that we’re seeing on the foot and ankle side, one of the strategies that we had as we were putting these channels together to move quickly, because we knew the faster that we move, the faster we get behind some of these things and are able to really go on offense.
Brandon Vazquez: Okay, great. And then maybe as a follow-up to that on the dissynergies topic still 100% done in the U.S. according to the update today, but 70% done internationally of integration. Does that mean that there is still some potential for dissynergies if there really are any meaningful ones internationally, or should we think of, despite being only at 70% you’re done there? And maybe just talk a little bit about what’s left to integrate in the international side of the business? Thanks.
Matt Trerotola: Yes, the 70% international, we’ve actually worked through most of the direct markets and certainly all the large, direct markets and have had pretty limited impact there. And we can understand – we would understand those and be able to see those at this point in time. And we’ve worked through some of the hybrid or indirect markets already in a very successful way. What’s remaining to be done is a handful of kind of hybrid or indirect markets in terms of that they are either key distributors that were combining or a combination of direct and distributor that we’re combining. And I would say that for that 30%, we’ve got clear line of sight on how things are going to come together. And I think we’ve been able to kick the tires pretty well in terms of what the risk might be as we do that, and we see them as pretty limited. And so yes, we do see that in international, there could be a little bit of dissynergy that develops in the back half of the year, consistent with the numbers that we put out there, but we also think we’ve gone far enough there to have made sure that there is nothing large, negative looming.
Operator: And the next question comes from Danielle Antalffy with UBS. Please go ahead.
Danielle Antalffy: Hey good morning guys. Thanks so much for taking the question. Just a question on how to take – I appreciate you guys are not going to provide 2025 guidance here. But if we just think about you peaked on the dissynergy side of things this quarter, you improved through the back half of the year on an underlying basis. And then presumably, as we enter next year, I mean, how should we think about this? You’ve got a number of new product launches. You’ve got now dissynergies behind us, maybe actually moving towards some sales synergies here. Could 2025 potentially with all that in mind being above pre-Lima trend growth or pre-Lima growth trend year for you guys. Any comments directionally you can say? And I’ll just leave it at that one question.
Matt Trerotola: Yes, I appreciate the question. We’re not going to give guidance for next year, but I would say everything we’ve been doing this year is to put us in a position to step into next year as a $2 billion-plus innovation-driven growth company, with over $1 billion nicely combined Recon portfolio that is a strong growth driver for our company, and a step-change in our margin profile that we’ve executed through and be able to continue to execute against our long-term strategic goals of high single-digit organic growth and continuously expanding our margins to 20% and beyond. So we’ve been doing everything possible this year to put us on – to create a step-change and then be able to continue on that journey on the other side of this.
Danielle Antalffy: Thank you.
Operator: And the next question comes from Caitlin Cronin with Canaccord Genuity. Please go ahead.
Caitlin Cronin: Hey thanks for taking the questions. Just to start off on cross-selling benefits. Where are you starting to see early wins in terms of the product portfolio? And where do you think you’ll see the most synergies in the second half?
Matt Trerotola: Yes. No, we definitely have seen some early wins. Honestly, one of the most – one of the most exciting early wins is just energy – outside the U.S., I mean, you can see our tremendous growth outside the U.S. in Recon, part of that is a good, healthy market, but part of it, frankly, is that our teams are absolutely energized. The combined Lima and Mathys teams that have come together there, it’s been fantastic to see how the talent has come together. And the positive energy, we’ve done reviews sort of country by country and hearing the leaders talk about the energy that the acquisition has created in their country is tremendous. So even before there is a lot of synergy products being sold, I think, we’ve just been benefiting from the fact that people feel like a part of a bigger, more powerful company, and they are going out and represent them in the market, and it’s helping with our momentum. Definitely, in terms of early wins, here in the U.S., both in the Lima cones in the revision knee area, the ProMade in terms of custom implants across anatomies have been some nice early wins. Outside the U.S., we continue to march forward on EMPOWR and AltiVate in key countries outside the U.S. not just in the Lima channel, but we have just scratched the surface in the Mathys customer base as we move through last year. And then there is some really interesting early wins that are just by the Lima and Mathys teams getting together and seeing opportunities to where one portfolio can help the other Mathys knee was quite weak and the Physica and ZUK coming out of Lima that’s already got full approvals has been quite helpful in some countries there. Lima didn’t have more ceramic-based product add some, but there are some key anatomies that they didn’t have products that would address some key customer needs around patient-friendly products. And Lima is already pulling those into the channel. Mathys is selling ProMade. So, some great early wins, they are pretty limited in terms of growth impact, just given the nature of how long it takes to get sets out there and get things ramped, et cetera, but they are quite positive in terms of the energy that’s being created around the world.
Caitlin Cronin: Great. Thanks for the color. And then just one more on P&R, 2%, 3% comp growth. When do you think you can start ramping this business to more mid-single digits on a consistent basis.
Matt Trerotola: Yes. So we’ve been consistent to say that P&R is a 3% to 4% grower that we’re working on shaping to be a 4% plus grower over time. And we were well above 4% last year, and we tried to be clear that it was – there was some extra market strength, it’s an extra pricing last year. And so running at 3% for the first half of this year in a market that’s a little bit more muted, I think, is right in line with our strategic plan. But for sure, we are working hard on the innovation content in key parts of that business that will ramp in the balance of this year and into the coming years, as well as some of the shaping like the small divestiture that I talked about today. We’ve also been doing some SKU trimming that shakes that business a little bit as well. And so P&R is still a healthy 3% to 4% grower that’s got nice and use market diversification. That’s a very strong cash generator, which fuels the great growth on the Recon side, and we do see the opportunity to shape it over time into more of a – maybe more of a 4% grower than a 3% to 4% grower and then try to work from there to see if we can go further. But we continue to have 3% to 4% as the strategic growth focus for P&R and we’re within that range this year.
Caitlin Cronin: Thanks so much.
Operator: The next question comes from Mike Matson with Needham & Company. Please go ahead.
Mike Matson: Yes, thanks. I just wanted to follow-up on Caitlin’s question on P&R. So the growth is a little slower now. There is concerns about a potential recession happening again, does that P&R business have a little more economic sensitivity than maybe the recon side of the business? What have you seen there in prior recessions with P&R?
Matt Trerotola: Yes. I mean, look, I think, our industry broadly, if you study prior recessions has had a little bit of impact, but not a lot of impact. And I think that would apply to both sides of the business. On the P&R side, on the positive side, there is a smaller percentage that is related to elective surgery and so you might argue that there is less kind of recession-related impact. But then there’s also things like products that we sell in our in our rehab business that are small capital purchases for rehab clinics and things like that, that obviously you might have a little bit of economic sensitivity in those. And so I don’t think there’s a meaningful difference between the Recon side and the P&R side in terms of economic sensitivity. I think both are very positive and that they have a limited band of economic sensitivity, but both are not fundamentally immune from a little bit of economic sensitivity.
Mike Matson: Okay. Got it, thanks. And then just on ARVIS 2.0, wondering if you could give us an update on the launch. And I don’t know if there is any sort of metrics you can share in terms of how it’s doing, but that would be helpful. Thanks.
Matt Trerotola: Yes. Yes again, and this is – ARVIS in hip and knee there, as we’ve talked about before, we’ve got a couple of dozen surgeons that are using the product and ramping the usage there, some using it very heavily, some using it on specific procedures, and we’re working with the surgeons to continue to get feedback and learn so that we can turn around and educate other surgeons the best way to use ARVIS, how to get the most benefit from it. Last time I looked, that number was creeping up some from that a couple of dozen. So, I do feel like as we work through this year, that’s going to start to ramp and be an important part of our knee offense there. And so we’re excited about that. Now we also have found that there is some surgeons that might prefer in the knee something that’s a little more robotic and we’ve got a partnership with Snyk there that allows us to bring the [indiscernible] and we’ve got kind of a handful of cases where [indiscernible] has been the right answer for a surgeon for whatever reason. And so we’re super excited about ARVIS, but we’re also being very thoughtful about how to make sure that in each of the anatomies we’ve got all the enabling technologies that are needed to serve multiple segments out there as the market continues to evolve and develop.
Mike Matson: Okay. Got it, thank you.
Operator: And the last question comes from George Sellers with Stephens Inc. Please go ahead.
George Sellers: Hey good morning. Thanks for taking the question. And I just wanted to follow-up on the cross-selling discussion. Could you provide some additional color on the breakdown geographically in those cross-selling opportunities? You gave some great color on what some of those devices are. But just as we think about the magnitude of that tailwind and how significant that cross-selling opportunity could be in terms of offsetting dis-synergies? What’s that breakdown geographically? And then how should we also think about that tailwind in the back half of this year and the tail of that into 2025 and beyond? Thanks again for taking the question.
Matt Trerotola: Yes, I’ll make some comments on that. I think that probably in the short term, there is a little bit more cross-selling opportunity in the U.S. than outside the U.S. as things ramp out there. But over a number of years, the opportunity outside the U.S. is extraordinary. And so I think what you’re going to see is that the cross-selling in the U.S. is going to start to offset some of the headwinds this year and then really going to start to help particularly the Lima business in the U.S. that had not been as strong a grower to be a good, strong grower up against our legacy Enovis business next year and in the following years. Outside the U.S., there’s a strong market out there that is supporting the double-digit growth and we’re also executing very well. I think what’s going to happen outside the U.S. is that as the synergies ramp year, by year, by year, as well as we make other improvements in investments, we’re going to be able to support continued very strong growth there in a much more normal market environment. And those will come together nicely in terms of our kind of long-term, double-digit Recon growth path and our high single-digit company growth path.
Ben Berry: Yes, George, and I’d just weigh in there, too, to say the depth and strength of our portfolio is just so much more robust now as you think about leveraging the scale and then now the channel that we’ve put together across the globe. But some of that takes time as you’re building inventory, as you’re working through making sure that we’re able to feed those channels with the products in the right place. So, as Matt described, this will develop over time. And then there’s also the benefit of now leveraging the capabilities that we have with legacy Mathys, with Lima, with legacy Enovis to drive innovation cadence into the future to just continue to support that development of the bags that we have across these anatomies. So, I think our view is it’s going to help to start moderate some of those net impacts as we’ve described here in 2024 in the back half of the year. But as we’ve also said, this is one of the things that we believe that will help us to continue to grow above the market outside the United States, longer term as we’re putting these things together and now you’re leveraging your sales call with a much more robust portfolio.
George Sellers: Okay. That’s really helpful color. I appreciate all that. And then maybe to follow-up on the P&R segment. Obviously, you’ve been investing a little bit there and have some new devices and updated devices that you’ve been rolling out. How should we think about the impact of that with pricing and your ability to take some price with rolling out some new devices there? And how should we think about the growth specifically coming from pricing in that segment going forward?
Matt Trerotola: Yes, in P&R, there had been a more historical, a little bit negative price environment in a time where we really weren’t innovating. And then more recently, there has been a positive price environment that’s been kind of a lot passing through the inflation. We’re now running at about flattish price in P&R. And I think that’s flat to a little positive is sort of the right price range for a P&R business where we’ve got the right amount of innovation coming through the business, and we kind of get price where we can, but then there is areas where there is going to be some pressure. And we’ve also been really having an eye towards mix and whether it’s kind of product line by product line mix and growing things like our technology based rehab products faster than the rest or whether it’s new products and making sure that the new products that we bring out have higher margins than the existing product line. I think those are things that factor into that kind of price and gross margin equation as well. So I think that we expect – our forward assumption would be that from a growth standpoint, price is neutral in the P&R kind of markets kind of like this year, but also that our innovation continues to ramp and grow, and is helping us to grow above market, but also helping us to have continuous margin expansion.
George Sellers: Got it. Okay. Really helpful. Thank you all again for the time this morning.
Operator: That concludes our question-and-answer session. I would like to turn the conference back over to Matt Trerotola for any closing remarks.
Matt Trerotola: Thank you for joining us this morning. I want to end the call by thanking our team members for their commitment to excellence day in and day out. We have a lot of momentum and excitement across the organization and remain committed to delivering value for all of our internal and external stakeholders. Thank you for listening today, and we look forward to sharing our third quarter results with you in October.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.